Analysts : [Yvette Elfman] – Marble Bar Asset Management
Operator: Welcome to the Oshkosh Corporation fiscal year 2009 fourth quarter financial results conference call. At this time all participants are in a listen only mode. A brief question and answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Mr. Pat Davidson, Vice President of Investor Relations for Oshkosh Corporation.
Patrick Davidson: Earlier today we published our fourth quarter and full year fiscal results for 2009. A copy of the release is available on our website at www.OshkoshCorporation.com. Today’s call is being webcast and is accompanied by a slide presentation which is also available on our website. The audio replay and slide presentation will be available on the website for approximately 12 months. Please refer now to Slide Two of that presentation. Our remarks that follow including answers to your questions include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different. Those risks include, among others matters that we have described in our Form 8K filed with the SEC this morning and other filings we make with the SEC. We disclaim any obligation to update these forward-looking statements which may not be updated until our next quarterly conference call, if at all. On July 1st, we completed the sale of our European refuse collection vehicle or RCV business. Results for this business are reported as discontinued operations in the accompanying slides. All sales and income figures that we discuss today refer to continuing operations unless otherwise stated. Presenting today for Oshkosh Corporation will be Bob Bohn, Chairman and Chief Executive Officer; Charlie Szews, President and Chief Operating Officer; and Dave Sagehorn, Executive Vice President and Chief Financial Officer. Let’s begin by turning to Slide Three and I’ll turn it over to you Bob.
Robert G. Bohn : As I reflect on the quarter and the fiscal year, it goes without saying that we’ve all been through a lot as a result of the great recession and the global credit crisis. I have to extend my sincere thanks and appreciation to the employees of Oshkosh Corporation and our supply chain partners for going the extra mile during these difficult times and working extremely hard to ensure that Oshkosh enters fiscal 2010 with a strong foundation and solid outlook. I’m proud that we moved decisively to shed costs and repay debt while still maintaining a sharp focusing on delighting our customers and capturing new businesses that we believe will lead us in to the eventual economic recovery. After several quarters of losses, we’re happy to report positive EPS of $0.63 for our fourth fiscal quarter and net sales of $1.49 billion. We benefitted this quarter from significantly higher defense sales as well as another solid quarter from our Pierce fire truck business in addition to favorable LIFO inventory and tax benefits. Charlie will talk about this more in a few moments but we are ahead of schedule on our MRAP-All Terrain Vehicle M-ATV deliveries. We are proud of our delivery record on this program which is a result of an incredible effort by our employees, our suppliers and our customer to put our war fighters’ needs above our own. Of course, the family of medium tactical vehicles the FMTV contract award to Oshkosh was a great win for us and for the Army. As many of you know, the Army decision is being protested by two losing bidders. The decision to award Oshkosh the FMTV contract was evaluated by an objective and independent government source selection team in accordance with established DOD procedures. We put our best foot forward to offer the government a compelling bid leveraging our significant experience, expertise and low cost structure providing military tactical wheeled vehicles. The source selection authority determined that Oshkosh’s bid represented the best value for this multiyear program. We believe that the Army was very comprehensive and objective in its evaluation and we expect that the contract award will withstand the protest. We also completed a significant capital structure transaction this quarter as we issued 14.95 million shares of common stock which provided $358 million of additional capital that we used to further retire outstanding debt. Please turn to Slide Four for a brief review of our fiscal 2009 results. Our full year results reflect the challenges we faced in a number of our businesses as a result of the weak global economy. Strong results in our defense segment weren’t enough to offset the severe weakness we experienced in our access equipment and to a lesser extent commercial segments. Even with this mixed performance, we believe that we outperformed many of our competitors and have gained share in several of our businesses. For the year we reported earnings per share from continuing operations of $0.05 excluding impairment charges. We successfully reduced our debt by $736 million during fiscal 2009 through a combination of cash flow from operations and the proceeds from our equity offering. In particular, we were able to reduce inventories in our non-defense segments by nearly $200 million in fiscal 2009. Of course, we were very aggressive on the new business capture front, particularly in defense and we concluded the sale of the Geesink Norba Group during the fourth and our Italian fire truck business in early October allowing us to focus on our remaining businesses. Obviously, we’re not sitting still during fiscal 2009. Please turn to Slide Five. As we exit fiscal 2009 most industrial companies still face many challenges with the great recession but Oshkosh is well positioned heading in to fiscal 2010. We believe we have maintained or increased market share in our key markets and we are accelerating production in support of our robust defense business led by the M-ATV program. This provides a positive outlook for significantly improved performance by our company in fiscal 2010. Backlog of $4.9 billion in our defense segment at September 30th is an all time high for this segment. We continue our preparations for the launch of the MFTV pending the outcome of the protest. We are proceeding at our own risk to build initial test vehicles. We know this vehicles very well and the initial test vehicle production is proceeding smoothly. We continue to expect that most of our other markets will remain weak in fiscal 2010 especially those with exposure to the construction markets. We believe it’s likely that we have reached or are very near the bottom in a number of these markets. We believe that customers will need to see some improvement in housing and other construction project starts and as we need to see reasonable access to credit before they begin to make meaningful increases in equipment purchases. We were very successful in our cost and debt reduction efforts in fiscal 2009 and we remain committed to managing our costs and reducing our debt in fiscal 2010. With that, I’ll turn it over to Charlie for a more detailed discussion by segment.
Charles L. Szews : Please turn with me to Slide Six. We experienced another strong performance from our defense segment in the fourth quarter. To meet the urgent need in Afghanistan to protect our men and women we set high delivery targets for our M-ATV program. Going from a target of 45 of these outstanding vehicles in July, the first month of deliveries to 1,000 per month by December 2009. Since then we’ve exceeded planned deliveries in every month including October. We have already sold about 25% of required M-ATV deliveries for November. So, we expect to maintain that record going forward. Today, we’ll produce about 40 MATVs in our moving assembly line. With about 20 production days in each month you can see that we are already running at a production rate of about 800 per month and we expect to be at 50 per day by mid November so we are well on our way to that 1,000 per month target. Our operations teams have fully deployed lean concepts and robotics to meet these high production quantities. Our sourcing team and our suppliers have stepped up to the challenge. Our quality metrics on these vehicles have been outstanding. Extensive planning both with our customer and our supply base, constant communication and a heroic effort by our employees and a history of building vehicles for the military for over 80 years are all contributing to the success we’re experiencing on this program. We view this as our mission to deliver these vehicles quickly to our men and women in Afghanistan. We’re also delivering on just more than our M-ATV commitments. From our facilities in Oshkosh Wisconsin we continue to deliver quality vehicles on time for our existing programs for the US Army and Marine Corp. further evidencing our ability to ramp up production on a wide variety of truck models and variance. These are the most advanced tactical wheeled military vehicles in the world incorporating sophisticated technologies of the conflicts our war fighters are currently engaged in. With vehicle weights ranging from 12 tons to 33.5 tons and from two to five axles per vehicle. Our performance doesn’t stop when our vehicles leave the factory. We have a strong history of supporting our products with aftermarket parts and service, with Oshkosh personnel positioned alongside our fighting men and women throughout the world. We recently signed an [inaudible] contract with the Defense Logistics Agency for M-ATV parts over a 24 month period. We’ll continue to work with our customer in the coming months to refine the specific requirements that will be ordered under this contract. As Bob described earlier, we continue to lean forward on the FMTV program as we believe that the US Army conducted a fair and objective source selection process and the outcome of the pending protest will uphold our award. We bid the multiyear FMTV program to be profitable based on our many years of experience building more complex tactical wheeled vehicles with many of the same suppliers utilized by the incumbent supplier. Our vertical integration purchasing power permits us to be very cost competitive. We have a dedicated work force in Wisconsin that is honored to serve our men and women in the armed forces and we are committed to delivering fine craftsmanship to our soldiers. We simply provide the best value to the army and we believe the GAO will come to that conclusion as well. In addition to test vehicles as Bob explained, we are spending capital, securing tooling and staffing up for the FMTV program as we expect that the award to Oshkosh will be upheld. We believe our soldiers deserve the best and we plan to deliver for them. Retrofitting of existing MRAPs with our TAK-4 independent suspension systems continues to progress very well. We are actively shipping system for use on Forest Protection’s Cougars and are finalizing details to provide TAK-4 suspension kits for BAE’s RG33 vehicles. We are hopeful that the evaluations we are working on with other MRAP OEM’s will yield up opportunities for additional TAK-4 suspension sales. Our soldiers and marines deserve the very best for their MRAPs and we believe our TAK-4 systems provide the best ride quality, best mobility and best durability for use in very difficult terrain. Finally in defense, we continue to monitor the progress of the President’s fiscal 2010 budget requests through the appropriate committees in Congress. Based on our early views we are encouraged by the requested level of funding for Oshkosh programs. Please turn with me to Slide Seven. Access equipment market conditions remain extremely weak across much of the world. However, it appears that this market may be at or nearing the bottom. We believe that equipment utilization and rental rates remain weak. We will need to see some improvement in each of these measures driven largely by increased construction activity as well as an increase in credit availability before customers begin to commit to higher spending for new equipment purchases. We currently believe that these weak market conditions will continue through much of 2010 as customers continue to conserve capital in the [inaudible] rental fleets. Looking at the ratings of the world, equipment sales in our largest market, North America and Europe, Africa and the Middle East or EMEA were down by the largest percentage, approximately 80% each. Australia, Asia excluding Japan and South America are in better overall conditions as these regions have been experiencing some improvement in end markets from their lows earlier in 2009. The team at JLG continues to work on cost and inventory reduction initiatives, production on a build to order basis. We have seen continued reduction in inventory levels in this segment in every quarter the last fiscal year. During this period of access equipment market weakness we are leveraging available capacity at JLG to meet the delivery requirements of the M-ATV program. The team at JLG has made great strides in setting up production lines for M-ATV crew capsules and complete vehicle assembly. Production quantities are ramping up to equal the M-ATV production rate at our Oshkosh facility by mid November. A number of representatives from our defense customer toured both the Oshkosh and JLG M-ATV production areas and have come away impressed with the progress we have made and the quality of vehicles coming off our M-ATV production line. Please turn to Slide Eight to discuss our fire and emergency segment. Our Pierce fire apparatus business experienced another strong quarter driven by market share gains in international opportunities. Our commitment to producing quality vehicles of leading technologies and best in class after market support has allowed us to continue to gain market share. We had another strong win recently in our aircraft rescue and firefighting or ARF business with a 24 unit order for Pakistan. This is a very competitive international bid that allowed us to leverage our strong product line up to win the contract. This is another in a string of successes that we have had internationally as we aggressively market our airport products throughout the world. While Pierce reported solid sales in the quarter, they are facing a weaker municipal spending environment in North America. Cities and towns are grappling with lower tax receipts as well as lower state and federal funding. We expect that we will continue to see weak municipal order rates through at least our fiscal 2010. We will continue to pursue sales to new customers and focus on further cost reduction efforts to help mitigate the impact of municipal spending on this segment. The economy continues to negatively impact several other businesses in our fire emergency segment with sales down compared to the prior year quarter at both Oshkosh Specialty Vehicles and Jerr-Dan. Wrapping up for this segment, in early October we sold our 75% stake in BAI, a small Italian fire apparatus manufacturer to the management team at BAI. Please turn to Slide Nine for a discussion of our commercial segment. We said it before but I think it bears repeating, the concrete mixer market in the US is down about 90% to 95% from its peak. We believe we’re at bottom and are beginning to see some signs of improvement. However, we do not expect more than just a modest uptick in demand in 2010. Stimulus funding infrastructure projects could help though we believe concrete haulers will likely wait to see evidence of sustained demand before buying new equipment in quantity. Yet, if US housing starts reach one million in 2010 as some have projected we will be poised to react to this higher demand. Even with the weakness in municipal spending that I mentioned earlier, our refuse collection vehicle or RCV business is more than holding its own. We are seeing a steady flow in demand in order activity from the large private haulers as well as growing demand from compressed natural gas or CMG powered RCVs. CMG units are particularly exciting because while they make up only about 10% of our business now, we are gaining traction in the market and seeing the results in our backlog which is growing. We are the RCV industry leader in CMG powered units and we expect to maintain that lead. We offer a drive away ready to go from the factory truck that delivers lower emissions and tremendous fuel savings. Customers can also benefit from the federal government stimulus package as well as from tax benefits associated with these lower emission engines. That’s a brief overview of our operations. Dave, please take it from here.
David M. Sagehorn : Please turn to Slide 10. Consolidated net sales of $1.49 billion for the fourth fiscal quarter were down 19.8% compared to the fourth fiscal quarter last year as significantly higher sales in our defense segment were not enough to overcome much lower sales in our access equipment and commercial sales. Operating income decreased 10.8% to $118.1 million or 7.9% of sales. Operating income margins were negatively impacted by lower consolidated sales volume partially offset by a shift in sales mix to higher margin defense segment sales and LIFO inventory benefits of approximately $24 million or $0.18 per share. Earnings per share from continuing operations for the quarter was $0.63, a decrease of 25% compared to the fourth quarter of fiscal 2008. Fully diluted shares for the quarter were 83.5 million reflecting the impact of the equity offering we concluded in August. Earnings per share for the quarter was favorably impacted by $0.18 due to execution of tax strategies related to investments in our foreign subsidiaries. The tax rate for the quarter was 13% including the benefit related to the tax strategies I just mentioned. We do not expect similar tax benefits related to these investments in future periods. The reversal of a portion of the European tax incentive and unbenefitted foreign net operating losses in the quarter partially offset the benefit of our tax planning strategies. Fourth fiscal quarter corporate operating expenses and intersegment profit elimination were above prior year levels due primarily to higher intersegment profit elimination related to the M-ATV contract, higher stock-based compensation expense and the reinstatement of previous compensation levels. In light of our improved financial outlook and in recognition of the outstanding contributions by employees throughout all the company, we did make the decision to discontinue most of the salary reductions that were implemented in the previous 15 months. We also accrued bonuses for certain businesses that met their fiscal 2009 bonus targets. We still have some salary reductions and furloughs in place at business units that continue to deal with extremely challenged markets. Discontinued operations for the quarter included a non-cash gain on the sale of the Geesink Norba Group and benefits of tax strategies related to the sale of Geesink. Let’s take a look at the segments in detail, please turn to Slide 11. Defense segment sales were $855.4 million up 54.6% compared to last year’s fourth fiscal quarter due to continued strong demand for trucks under the family of heavy tactical vehicles program as well as a near doubling of parts and service sales led by sales of TAK-4 independent suspension kits for MRAP vehicles offset in part by lower medium payload tactical vehicle sales. M-ATV related sales in the quarter were approximately $100 million as we were in the early stages of the ramp up for this program after receiving the initial contract award on June 30. Operating income increased 115.4% to $161.7 million compared to $75.1 million in the prior year quarter. Operating income margin in the quarter increased to 18.9% compared to 13.6% in the fourth quarter of fiscal 2008. The increase in operating income margin was due to a combination of improved manufacturing efficiencies, a LIFO inventory benefit of $12 million in the quarter and lower material costs. Defense segment margins on the M-ATV program during the fourth quarter were modestly lower than full year fiscal 2009 margins for the segment as a whole. Backlog in this segment was $4.9 billion at September 30 up over 300% compared to September 30, 2008. The M-ATV program accounted for approximately $2.2 billion of the total backlog. Defense backlog also contained the FMTV delivery order that we received in August but does not include the $408 million M-ATV order that we received in October. As Bob mentioned earlier, the $4.9 billion is an all time record backlog for our defense segment. Please turn to Slide 12. Access equipment sales were $310.5 million in the fourth quarter, down 58.2% compared to the same period last year. Fourth quarter sales included approximately $87 million of intercompany M-ATV sales to the defense segment. JLG access equipment sales were down 77% compared to the prior year quarter with the North America and EMEA regions experiencing the largest percentage declines of approximately 80% each. Ariel work platform sales were down slightly more than telehandlers sales on a percentage basis compared to the prior year quarter. The segment recorded and operating loss of $45.8 million compared to operating income of $50.2 million in the prior year quarter. Operating income and operating income margins in this segment continued to be impacted by lower volumes as well as product rationalization costs. Lower operating expenses as a result of previously implemented cost reduction initiatives offset a portion of the decrease in operating results in this segment again this quarter. Margins on JLG’s intercompany M-ATVs sales in the fourth quarter were in the mid single digit range. Backlog for access equipment was $98.3 million at September 30, a decline of 70.2% compared to September 30, 2008. In prior years, military telehandlers were not included in backlog calculations for this segment. Excluding military telehandler backlog, this segment experienced an 83% backlog decline compared to September 30, 2008. Current backlog reflects continued weakness in the access equipment market. Please turn to Slide 13. Turning to fire and emergency, sales in the fourth fiscal quarter declined 16.7% to $305.2 million compared to the prior year’s fourth fiscal quarter. The decline in sales was primarily due to lower sales at our European fire apparatus and mobile medical businesses which both had large multiple unit sales in the fourth quarter of fiscal 2008. Our towing and recovery business also experienced lower sales compared to the prior year fourth quarter. Operating income in this segment decreased to $31.7 million or 10.4% of sales compared to 9.1% of sales in the prior year period. The increase in operating income margins was largely a result of a higher percentage of sales in the quarter coming from Pierce and our airport products businesses which are traditionally the higher margin businesses in this segment and yearend LIFO benefits of $3.7 million. Compared to September 30, 2008 fire and emergency backlog was down 11.8% mainly due to lower municipal spending as a result of the weak economy. Please turn to Slide 14. Commercial sales decreased 40.4% to $130.4 million compared to last year’s fourth fiscal quarter. The decrease in sales was the result of continued extreme weakness in the concrete mixer market and a tough comparison against very strong fourth quarter refuse collection vehicle sales in fiscal 2008. We recorded operating income of $3.8 million or 2.9% of sales in this segment in the fourth fiscal quarter compared to $3.4 million or 1.5% of sales in the prior year quarter. The impact of significantly lower sales volume on operating income and operating income margins was more than offset by LIFO inventory benefits of $8.5 million in the quarter and the benefit of previously implemented cost reductions. The commercial team has done an outstanding job of reducing costs and addressing the difficult conditions facing them in the concrete mixer and batch plant markets. Backlog for the commercial segment at September 30 was $74.6 million down 38.2% compared to September 30, 2008. The lower backlog reflects continued weakness in concrete mixers and batch plants as well as the timing of orders from several of the larger waste haulers. Please turn to Slide 15. Looking at our capital structure, we believe we will have significant room under our financial covenants in fiscal 2010. S&P recently upgraded our credit rating to B+ stable acknowledging our improved financial outlook. We lowered our debt by an additional $413 million through the four fiscal quarter through a combination of free cash flow and $358 million of proceeds from our equity offering in August. We issued 14.95 million shares of common stock and are very pleased with the results of this transaction. For the fiscal year we made great progress as we reduced our debt by $736 million and in October we paid the remaining balance of $117.7 million of our term loan A. Since December 31, 2006, the quarter in which we acquired JLG we’ve reduced our debt by approximately $1.4 billion, strong evidence of our ability to generate cash in both up and down markets. During the fourth quarter we entered in to an agreement for performance based payments with our customer on the M-ATV program. This resulted in a significant cash payment to Oshkosh near the end of the fiscal year which is reflected in the large amount of cash on the balance sheet at September 30. Much of this cash at yearend was used to pay suppliers starting in early October as we continued to increase our purchases to support the M-ATV production ramp up. With more than $500 million of borrowing capacity on our revolver at September 30 and an expectation to generate additional free cash flow, we expect to have ample liquidity in fiscal 2010. Please turn to Slide 16. While we aren’t providing quantitative guidance, we do believe that we will be solidly profitable in fiscal 2010. I’d like to touch on some of the trends that we currently see at each of our business segments. For defense, our factories are operating efficiently and we expect significant sales growth in fiscal 2010. We have a very strong backlog for FHTV, M-ATV and service parts. Our current M-ATV backlog will take scheduled production of these vehicles through March 2010. We expect minimal FMTV sales volume in fiscal 2010 as that program will begin to ramp up in earnest early in our fiscal 2011 assuming a successful resolution of the protests. We are however incurring costs on the FMTV program during the protest phase so that we are ready to move forward quickly if, as we expect, the GAO denies the protest. In fiscal 2010 we don’t expect to sustain the margins we experienced in our defense segment in the fourth quarter fiscal 2009. Specifically, we don’t expect a significant LIFO benefit in fiscal 2010. We also expect an adverse sales mix and increased investment in future business opportunities to more than offset the absorption benefits of increased volume. Our access equipment business remains soft and we don’t expect a significant change in this market until our fiscal 2011. We expect that margins on JLG’s traditional access equipment business will improve in fiscal 2010 due to the expectations that charges for increased bad debt reserves and restructuring costs along with the impact from higher material costs and inventory will not be as significant in this segment as they were in fiscal 2009. Of course, this segment will benefit from M-ATV production volume through approximately March 2010 and our continued cost reduction focus. We expect lower sales in our fire and emergency segment in fiscal 2010 as a result of ongoing weakness in municipal order rates due to the impact of the recession on tax receipts. However, this segment is traditionally our least cyclical and we believe that the percentage decrease in its sales for fiscal 2010 compared to fiscal 2009 will be significantly less than we experienced in our access equipment and commercial segments in fiscal 2009. We believe that our concrete mixer and batch plant businesses will remain soft until a modest pickup that we expect to begin in the middle of calendar year 2010. We estimate that our refuse collection vehicle sales will be flat to up modestly in fiscal 2010 due to the timing of deliveries for the national waste haulers. We’re currently estimating that our capital spending in fiscal 2010 will be $90 to $100 million as we continue to invest in the M-ATV production ramp up and the JLG manufacturing facility in China and as we prepare for FMTV production that we expect in fiscal 2011. Finally we expect to use approximately 91 million shares of our diluted EPS calculations in fiscal 201. I’ll turn it back over to Bob to conclude our prepared remarks.
Robert G. Bohn : At Oshkosh we have significant momentum in our defense segment that we expect will compel us to significantly stronger results in fiscal 2010. Our balance sheet is now strong and it’s our intention to build on our experience and great reputation as the manufacturer of the world’s best tactical wheeled military vehicles, aerial work platforms, customer fire trucks and refuse collection vehicles to name just a few of our leading products. We have plans to continue to pay down debt and improve processes and efficiencies in our factories as we continually strive to improve our operating performance. During difficult times we believe that experience counts and we have that depth and experience in our leaders at Oshkosh Corporation. You can count on us to succeed during challenging times and we will be ready to capitalize when the global economy improves. Thank you for your continued interest and support and at this time we’ll turn it over to you Pat.
Patrick Davidson : I’d like to remind everyone to limit their questions to one plus a follow up please and avoid questions with multiple subparts as it makes it very difficult for us to ensure that everybody participates. After a follow up we ask that you get back in queue to ask additional questions. We appreciate your interest.
Operator: (Operator Instructions) Your first question comes from Jerry Revich – Goldman Sachs.
Jerry Revich – Goldman Sachs: Dave, I’m wondering if you can talk about the $87 million of access equipment intercompany sales this quarter? Does that imply that you barely ran any volumes through your defense facilities or is that the impact of the telehandler business flowing through the same way as M-ATV? Also, can you discuss what were the product rationalization costs in JLG this quarter?
David M. Sagehorn : The $87 million of intercompany M-ATV sales from JLG to defense, that represents the value of the crew capsules as well as completed assembled vehicles that JLG sold to our defense segment. They’re treated as another supplier to defense, obviously a very valued supplier. They deliver crew capsules specifically as well as completed vehicles in advance of defense selling those ultimately to the government customer.
Charles L. Szews : In other words they also would have sold more crew capsules in the quarter than necessarily we sold full vehicles to the government. That’s why it looks like they have a high percentage of the overall sales. A lot of that sales in intercompany profit would have been eliminated in our final results.
Jerry Revich – Goldman Sachs: The product rationalization costs, were they meaningful to JLG in the quarter? I guess I would have expected more absorption benefits from the military business in JLG this quarter unless that product rationalization line was pretty significant?
David M. Sagehorn : Overall product rationalization and related impact on inventory Jerry was a little bit north of $4 million in the quarter.
Jerry Revich – Goldman Sachs: Can you step us through the accounting impact of the M-ATV production in JLG? You mentioned the mid singled digit margin but I’m assuming you got some very nice benefits from the absorption side, where does that get impacted or does the impact of that iteration kick in as you ramp up production in coming quarters?
David M. Sagehorn : I think you’ll see more of the benefit in the coming quarters. Again, JLG was just ramping up in the fourth fiscal quarter of 2009.
Operator: Your next question comes from Charles Brady – BMO Capital Markets.
Charles Brady – BMO Capital Markets: On the commercial segment and your comment in your prepared remarks on the backlog maybe being a little lower than it might have otherwise been because of your refuse customers delaying orders, did I hear that correct? And, should we expect a tick up in the backlog in the next quarter or two and was there any single reason why those orders got delayed? As a follow up to that, just on the margins in that business, looking out to fiscal 2010 do you expect that business to be profitable? It obviously was not profitable ex the LIFO benefit in the quarter?
Charles L. Szews : In terms of the RCV backlog Charlie, last year in the fourth fiscal quarter we had a big order quarter so I think – big order and shipping course. I think what you’re seeing is a little bit of timing of the customers when they’re ordering business so we did exit [inaudible] and it was really because last year we had a big concentration of business in that fourth fiscal quarter. Going forward we do think that orders are going to be pretty good at least in the near term for RCVs in part because as you know we had a couple of large customers that merged in the past year. As is typical, they spend a period of time rationalizing their fleets and those sorts of things and then they start to order again. I think that’s kind of the period we’re in right now is that we’re seeing some orders from that merged customer and that should help us in the next few months.
David M. Sagehorn : In terms of the outlook in fiscal 2010 we’re certainly striving for that segment to be profitable. Regarding the fourth quarter, in addition to the LIFO which obviously was a benefit, they did have some inventory reserves and a couple of other miscellaneous reserves that they recorded in the quarter that absent those they would have been right around the breakeven level for the quarter.
Operator: Your next question comes from Alexander Blanton – Ingalls & Synder, LLC.
Alexander Blanton – Ingalls & Synder, LLC.: My calculations show that on a 20% decline in sales you achieved – your gross margin was only down 37 basis points after adjusting for the LIFO so that’s about a 17% detrimental margin. That is awfully good. That detrimental margin is almost as low as your overall margin so how did you achieve that? What were the key ingredients of that?
David M. Sagehorn : Alex, are you talking overall for the company?
Alexander Blanton – Ingalls & Synder, LLC.: Yes, overall.
David M. Sagehorn : Obviously we had some mix issues going on, defense sales were a much larger percentage of the total consolidated sales in the quarter and we had very strong performance in our defense segment in the quarter. Obviously, I think we’re seeing some of the benefits of the cost reduction initiatives that we implemented earlier in the year as well as everybody remains focused on cost reductions throughout the company. Those are probably the largest drivers we saw.
Alexander Blanton – Ingalls & Synder, LLC.: There’s a story on Reuters that you said that you don’t see the margins in defense being sustained. It was 18 something in the quarter but if you adjust for LIFO it was 17.5 which was still way above normal but, I didn’t see that comment in your release. I’m not sure where that came from?
David M. Sagehorn : I think we did comment in the prepared remarks Alex that we don’t expect to be able to sustain those margins in fiscal 2010.
Alexander Blanton – Ingalls & Synder, LLC.: But this ran at 8am, 8:30.
David M. Sagehorn : We posted our prepared remarks out earlier this morning.
Alexander Blanton – Ingalls & Synder, LLC.: Finally, 1,400 additional vehicles, JROC said might be ordered, the M-ATV vehicles, can you update us on when that might be expected?
Robert G. Bohn : We saw the comments yesterday from Under Secretary Carter at the Pentagon about the potential additional orders. We certainly know that the joint requirements oversight council has approved an additional 1,400 vehicles. We’re hopeful that they will order those but really until the government acts, we really don’t have much more to say. It’s kind of an interesting time obviously, we’re grappling as a country in terms of what our strategy is in Afghanistan and I’m sure there are a lot of closed door discussions about what they might order from us and what they might do in a lot of different areas so we don’t have anything to tell you. We do know that every month around the 10th of the month the customer has a decision point to make if they want to continue production without a break in production, we need an order. Certainly by the 10th or so of November there’s a possibility we could get an order or there’s a break in production or the customer could just decide to have a break in production and accept that. Really, it’s in their hands right now.
Operator: Your next question comes from Walter Liptak – Barrington Research.
Walter Liptak – Barrington Research: My questions are for Dave Sagehorn about the accounting in access and the question I have is you’re ramping production of M-ATVs, there’s got to be extra administrative costs and equipment costs that are going in there. How are those being accounted for? Are those going through access profits or through defense profits?
David M. Sagehorn : Those are going through access. As we put together the program we stepped back and looked at what costs we believed JLG would incur on the program and as we developed the pricing to charge defense for the services and activities that JLG is providing we looked at it and included those costs.
Walter Liptak – Barrington Research: Is there a way of looking at the loss in access equipment excluding the cost to ramp production?
David M. Sagehorn : You’re trying to get just to the base JLG business?
Walter Liptak – Barrington Research: Yes.
David M. Sagehorn : I think the easiest way would probably be you understand the sales dollars, intercompany sales on the program, and then we talked about margins on those sales so I think if you just back those off that should get you to a traditional JLG business.
Walter Liptak – Barrington Research: If I could ask just one more, you gave some kind of forward-looking guidance on access for 2010 and presumably with the losses of $213 million in ’09, can you give us some idea of what the loss might look like in 2010? Could it be half, where do you think the losses will turn out in JLG?
David M. Sagehorn : We haven’t quantified that but I guess what I would say is if you look at some of the things that we had going on in our fiscal 2009 between higher material costs, restructuring charges and bad debt levels, combined those were all north of $100 million. We expect to see significantly less from each of those in fiscal 2009 and obviously we continue to look at the cost structure and focus on cost reductions as well. Without quantifying I would expect to see a significantly improved bottom line on a market that we believe will remain weak through much of fiscal 2010.
Walter Liptak – Barrington Research: The 2010 tax rate?
David M. Sagehorn : Probably in the 37% to 38% range.
Operator: Your next question comes from Jim McIlree – Collins Stewart.
Jim McIlree – Collins Stewart: In terms of units, how many orders for the TAK-4 do you have booked to date that are going to go on MRAPs of all vendors?
Robert G. Bohn : Of all MRAP OEMs, we have about 2,400 units on order as of today out of a fleet of just over 16,000.
Jim McIlree – Collins Stewart: The follow up is could you just summarize where you are in terms of competitions for international, RFPs on blast protected vehicles?
Robert G. Bohn : We don’t have anything I guess I would say as eminent. Certainly, we are looking at those opportunities. We’ve had a number of countries globally talk to us and express interest to our defense customer, the US Department of Defense to buy potentially M-ATVs. We’re certainly going to be pursuing those opportunities over the next 12 months and where the specs would I guess favor our M-ATV and maybe our SandCat, you will see us bidding around the world for those kinds of competitions. These competitions are kind of far between and they take a while to develop so there’s nothing probably real eminent to talk about.
Operator: Your next question comes from Jamie Cook – Credit Suisse.
Jamie Cook – Credit Suisse: First question, on the inventory side we saw sequential declines in inventory I think of about $75 million so can you walk me through? I’m assuming that you had some inventory build in defense, can you just walk me through how much you built there and what you sort of took down specifically in JLG, how much you reduced inventory at your levels and how much you reduced at I guess the dealer level as well?
Charles L. Szews : Jamie, you’re right we did have an inventory build sequentially in the defense segment. Excluding that the majority of the inventory reduction we saw in the segment was at JLG and that was somewhere north of $75 million in the quarter so we made excellent progress in the quarter at JLG. We also were able to reduce inventories but to a lesser extent in both fire and emergency and the commercial segment.
Jamie Cook – Credit Suisse: How much more do we have left at JLG to reduce inventory and at what point do you think you’ll be producing more in line with retail demand?
Robert G. Bohn : We are only producing today in line with pretty close to demand I’d say because we’re building to order and we’ve been doing that for months.
Jamie Cook – Credit Suisse: How do you feel about your inventory at JLG in the channel and is there any more to go?
Robert G. Bohn : I think we have opportunities to reduce our inventories but it’s a modest amount. It’s not going to move the needle for you overall in terms of our inventory value. [Inaudible] from making comments for us about our inventories, we have perhaps a little extra inventory in Europe. In the United States we’re well balanced in terms of inventory and the rest of the world.
Jamie Cook – Credit Suisse: So the worst is behind us on that front?
Robert G. Bohn : Absolutely. Our inventories at JLG are down two thirds from peak, before the recession.
Operator: Your next question comes from Analyst for Steve Barger – Keybanc Capital Markets.
Analyst for Steve Barger – Keybanc Capital Markets: My first question is on the defense margins, if my math is right here I’m showing that the annual defense margin was about 15.5%. I think you had noted during your prepared remarks that M-ATV was modestly below the average for the year. If you’re still on your ramp up phase which would presumably be lower margin where do you think the margins can actually go on this M-ATV contract?
Charles L. Szews : I think there are a lot of moving pieces to the M-ATV program. We are, as you correctly point out, still in the ramp up phase. The team is doing just an outstanding job in producing these vehicles and we had very good performance in our fourth fiscal quarter. I think as time goes on here through the quarter we’ll just have to see where the margins come out. At this point we aren’t providing point estimates to where we think the margins are going to be.
Analyst for Steve Barger – Keybanc Capital Markets: Directionally speaking would you expect them to remain flat at this level, to get better, to get worse?
Charles L. Szews : I don’t think I would expect them to get any worse but that’s all I will say on that at this time.
Analyst for Steve Barger – Keybanc Capital Markets: My second question is on the guidance, arguably you had pretty solid visibility in to your defense business which is going to be your EPS driver in FY ’10. Given that why actually not put out at least a wide range for earnings guidance? Are you waiting for some clarity on FMTV?
Robert G. Bohn : FMTV won’t have any impact in fiscal 2010. Under the current schedule, assuming no changes to that schedule from the FMTV protest, we’re only going to be delivering a handful of test vehicles in our fiscal 2010, really the production starts in fiscal 2011 so FMTV doesn’t impact anything. I guess what we’d say is we’re at an interesting point in the overall global economy and we’re still sort of teetering at a point here and if it gets better, great. If it stays where it is, we don’t really know, we’re not economic forecasters and until we have better insight in to where the overall global economy is we really don’t want to be giving estimates that significantly cause us to significantly estimate access equipment, commercial segment, the kind of sales and earnings. It’s too volatile right now.
Operator: Your next question comes from [Chris Webster] – Robert W. Baird.
[Chris Webster] – Robert W. Baird: I was wondering if you could somehow frame the magnitude of either how much temporary cost reductions like furloughs saved you in 2009 or what you expect the headwind to be in fiscal year ’10 from eliminating some of those programs?
David M. Sagehorn : Chris what we said previously is that $200 million of annualized cost reductions. I think we were actually very close to that for the fiscal year in terms of dialing back on some of the compensation reductions that we took earlier in the year. I think you’re going to see somewhere the impact of that on a consolidated basis through fiscal 2010 of $20 to $30 million worth.
[Chris Webster] – Robert W. Baird: Maybe if I could ask the question on JLG margins in a little bit different way, once M-ATV production winds down in March or April given the cost reduction efforts you’ve undertaken, higher cost inventory is now through the channel, you’ve got a much better cost structure, how should we think about a breakeven revenue level for that business?
David M. Sagehorn : We haven’t provided a breakeven revenue level for that. I think what we have said in the past and I think it’s still consistent is we need to have sales above the current run rate levels for this business to be profitable going forward even with the restructuring actions that we have taken to date. Obviously, we’re striving to continue to lower the breakeven point of this business but we do need to see higher sales levels.
[Chris Webster] – Robert W. Baird: Just two real quick follow ups, how big was the working capital boost from the military cash payments and how many M-ATVs did you actually ship in the fourth quarter?
David M. Sagehorn : The majority of the cash that we have on the balance sheet would be related to the performance based payment for the M-ATV program. M-ATV’s in the quarter Charlie?
Charles L. Szews : I’ve forgot the exact number but it’s in the neighborhood of 200 units plus or minus. Our requirement was about 195 units, we’ve exceeded that number so something over 200.
Operator: Your next question comes from Analyst for Paul Bodner – Longbow Research.
Analyst for Paul Bodner – Longbow Research: I have a question about your fiscal 2010 outlook, you talk about continuing focus on cost reduction and debt repayment. Can you give a little bit more detail on both of those items?
David M. Sagehorn : We aren’t going to quantify the debt reduction target that we have for the year. Obviously, we talked about $117 million of term loan A pay down that we did make in October of this year. We expect to generate additional cash flow throughout the year and that will remain very much a focus for the company going forward. Cost reduction, we should see absent the salary restoration that we talked about, some incremental benefits in fiscal 2010 for those items that were not in place for a full year in fiscal 2009 but I don’t know that that would be a significant increase year-over-year.
Analyst for Paul Bodner – Longbow Research: Then in terms of the defense segment and I know a lot of people have been asking about the margins and whether they can go forward or not or stay flat, in terms of the mix of aftermarket and original equipment how do you see that just in terms of directionally going over the next two years?
David M. Sagehorn : Over the next two years?
Analyst for Paul Bodner – Longbow Research: Yes please.
David M. Sagehorn : Historically as a company we’ve been on a consolidated basis say approximately 15% of our sales were aftermarket parts and service, defense historically has been above that. We were quite a bit above that in our fourth fiscal quarter. I think you’re probably going to see that come back in more historical range as we go through 2010 and our fiscal 2011. We have somewhat limited visibility on 2011 but I think you’ll see it more in to the traditional range that we saw for the defense segment.
Operator: Your next question comes from [Yvette Elfman] – Marble Bar Asset Management.
[Yvette Elfman] – Marble Bar Asset Management: Just again on the defense margins, you said in the statements about $100 million of revenues from the M-ATVs, if I look at that $100 million, strip that out from your reported $855 giving you obviously $755 and apply your typical let’s say the last 12 months worth of margins at 14% for your kind of non M-ATV defense business, you are obviously getting about $100 to $105 million of EBTIDA from the non MRAPs business. Then, you adjust for kind of the LIFO impacts, you’re still getting about $30 to $35 million or so on $100 million of revenues which is like obviously a 35% EBIT margin for this quarter on your M-ATVs. Is this some kind of ramp that is skewing the margin to a higher level or what am I missing there?
David M. Sagehorn : The 35% seems very, very high. Some of the things we did have in the quarter, we had a higher percentage of parts, aftermarket parts and service than we traditionally have experienced in this business and that generally is at a higher margin than our traditional truck business. We did mention that we saw some improved efficiencies in this segment in the quarter as we’ve continued to ramp up the volumes there and also drive some continued lean improvements in the business and then we also talked about material cost reductions that we saw come through. I think you have a combination of things that are all coming together to provide the increased margins that we saw in this segment in the fourth quarter.
[Yvette Elfman] – Marble Bar Asset Management: The follow up to that is you’ve averaged roughly 13.5% to 14% for the last 12 months in that defense business. You now are at 17.5% ex the LIFO impact, so that kind of obviously 250 to 300 basis points of margin expansion, how much of that do you think is actually part to do with kind of the M-ATV and how much of it is just kind of what you just talked about in terms of lower material costs, cost cutting and higher proportion of aftermarket? I’m just trying to get a flavor for what’s sustainable in that EBIT margin and what’s not?
Robert G. Bohn : Again, we gave pretty specific comments that our M-ATV margins were modestly lower than our annual defense segment margins so I think you should go back to that comment and that’s generally speaking what the M-ATV profitability was. There are a lot of impacts in the current quarter, like Dave said. We had very significant mix for parts business, we had very high volume generally which provide us with a lot of absorption benefits, efficiency benefits, things that aren’t sustainable over a long period if you’re sales aren’t at that level. Going forward I think we had some prepared comments about what our margin outlook was going forward and I think you should go back to those. I’d like to thank our shareholders, our employees and our customers. Thank you for [inaudible]. We’ll be at the Goldman conference this week. We’ll be at the R. W. Baird conference next week and we look forward to spending more time with you. Have a great day.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.